Raimundo Fernández-Cuesta: Good morning, ladies and gentlemen. This is Raimundo Fernández-Cuesta. Welcome to ACCIONA's results presentation for the First 9 months of 2020. Jose Angel Tejero, our Group CFO, will be presenting today. Jose Angel, when you're ready.
Jose Angel Tejero: Thank you, Raimundo, and good morning to everyone. I would like to start with a summary of where we are in the year. We have gone through Q2, the worst quarter in terms of the impact of COVID, and now we have a full quarter, where we are seeing an improving trend in the operating environment in our financial results. Profitability levels across most of our activities are gradually converging towards what we consider to be a normal level. Although this convergence is taking longer than we anticipated back in the early days of this unprecedented situation. This trend can be appreciated in the recovery of our EBITDA level although C-19 still have an impact in our operations. There is a catch-up, which reduces the rate of decline of our EBITDA, down to 24% up to September with respect to last year. Remember that this gap in June was 29%. We expect to keep reducing the gap in the fourth quarter. The impact of COVID was 144 million in H1 and in Q3 has already been reduced to 50 million. The energy business is holding up well. This is a portfolio where roughly 80% of its EBITDA is originated from assets with regulatory or contractual protection. COVID is affecting our energy business mainly through the lower power prices in Spain, for which we have mitigation through the regulatory banding mechanism and the hedging we have put in place. Volumes so far this year are lower than expected, and we have lower regulatory income for this 3-year regulatory period. But this is unrelated to COVID. Infrastructure is the area most affected by the pandemic, mainly through construction and services businesses, which saw the full impact of the COVID disruption in Q2 and are now back to profit in Q3. This is encouraging and suggests that we are in the recovering path for the coming months. In the meantime, as we have been commenting in earlier results presentations, the COVID pandemic is not stopping us from continuing to accelerate our business plan. We have recently added to our scheduled plan for additions in the coming years, a significant portion of our Tenaska PV portfolio in the U.S. and the MacIntyre mega project in Australia, as we have signed the critical PPAs and contractual arrangements to give us the comfort required. This means that our list of projects that are being commissioned or constructed this year plus what will be under construction in 2021 and on, add up to 3.6 gigawatts of new capacity.  In addition, we have 2.7 gigawatts of development projects in mature stages, which give us all together more than 100% coverage of our 5 gigawatt target for the period 2024. We will provide you with more detail in a moment. With respect to the infrastructure backlog, we have had so far a record year in terms of new products added to our construction and water contract backlog. The project backlog stands at 12.7 billion relative to 8 billion at the beginning of the year, with excellent new awards activity, as well as the green light for linear sales project, and the completion of the acquisition of the contracts from Lendlease. In addition, in October, we have been selected as preferred bidder for projects amounting for an additional 1 billion. We want to reassure that COVID crisis will not hurt the delivery of our business plan and overall growth opportunities, despite the negative impact it is having on our EBITDA in the short-term. We have taken significant actions this year to contain the temporary increase of our net debt-to-EBITDA ratio in 2020, which will be completed with expected execution of the asset disposals as planned. Net debt has remained flat relative to June with lower investment and positive working capital, and we expect to show a reduction in Q4. The asset disposal process is on track, and the transactions we are working on will contribute to normalizing our leverage ratios at the end of 2020 and also in 2021. In Slide 4, we show the key financial metrics for the period to September 2020. Revenues fell by almost 14% to 4,554 million, a decline of around 730 million with 15% lower revenues in energy, 14% in infrastructure. We have estimated a total COVID impact in revenues of 759 million. We highlight the water business, which grew its revenues by 37%. Group EBITDA fell by 23.8% to 760 million, with energy declining by 3.7% and infrastructure by 63.4%, mostly due to construction and to a lesser extent services. The impact of COVID at the EBITDA level is of 195 million. Earnings before tax, before the effect of Nordex results amount to 192 million. The negative contribution of Nordex results in total EBT of 136 million, which is a 61.4% lower than 2019. Attributable net profit reached 78 million, falling in-line with earnings before tax. In terms of investment in the period, total investment amounts to 660 million, relative to almost 1 billion for the same period last year. We remind you that before COVID, we expected cash flows due to investment to be around 1.5 billion. We have made a major effort to containing investment cash flows this year, as you can see. Net financial debt, including IFRS 16 stands at close to 5.7 billion, flat relative to June levels and roughly 100 million higher than a year ago. In Slide 5, we saw the quarterly revenues and EBITDA posted by the group so far this year, as well as where they could potentially be by the year-end. The chart illustrates the large impact of COVID in Q2 amplified by the very good performance of the group in Q2 last year and how the gap has been partly closed in Q3, which shows an encouraging trend. With respect to Q4, there are the obvious business uncertainties simplified by the COVID situation and its potential deterioration as a second wave gets underway. Nevertheless, we still expect the improving trend to continue and get close to the Q4 level seen last year. The company is fully focused on maximizing EBITDA on this final month of the year, as well as cash conversion and execution of the disposals. In Slide 6, we provide you with a breakdown on capital expenditure on a cash basis during the first nine months of the year, with CapEx falling from almost 1 billion last year to 660 million in 2020. In the lower right-hand corner, we provide you with the quarterly CapEx and our expectation for Q4, showing you the impact of our actions to contain the cash outflow for the year. We note once more that we are not delaying the progress of the energy projects under construction or about to enter construction, but rather deferring cash payments to 2021 when those projects will begin operations and will start contributing income for the group. The vast majority of the CapEx is related to energy investment. Investment in property development has decreased. Last year it included the acquisition of the Mesena project. And this year, we have reduced activity in the context of lower commercial visibility in this COVID environment. Turning to Slide 7, you can find here the cash flow during the period, explaining the changes in net debt between December 2019 and September 2020. Operating cash flow of 324 million compares to pre-COVID levels of 426 million in 2019, with lower EBITDA and other operating cash flows partly compensated by better working capital. Working capital is just about positive, and we note the positive contribution of the projects acquired from Lendlease Engineering at this stage. Investment cash flows are lower as discussed, as well as the dividend, which is about one-half of what was distributed last year. The net debt figure excludes 127 million associated with the portfolio of concessions that we are in the process of selling. In Slide 8, you have a summary of the net debt breakdown, evolution of indebtedness and financial charges, as well as data on average cost and the maturity. The cost of debt continues to fall relative to last year, and we have increased marginally the average maturity of the total stock of debt. Moving on to Slide 9. We show our very strong liquidity position. We put it in context with the quarterly liquidity level since December 2017, and also with the debt maturities in Q4 and in 2021 as a whole. A large component of our near-term maturities are related to our commercial paper programs. The ECP market is recovering fast in recent weeks, and we are seeing some evidence of gradual lengthening of maturities.  We have also seen a pickup in activity in our E&T and private placement activity. As discussed in earlier presentation, we have renewed and extended bilateral and syndicated facilities throughout the year on a normal course of business despite COVID.  Starting with a review of the operating performance of our businesses, in Slide 10, we show the Energy division. Revenues fell by 15.3% to 1,268 million, with lower regulated and wholesale income in Spain, as well as lower supply activity volumes. EBITDA declined by 3.7% to 583 million, with lower contribution in Spain, not fully compensated by the international business. The international EBITDA grew on the back of new capacity in operation, which increased by 436 megawatts during the last 12 months. Our existing international fleet had lower load factors than last year. Spanish generation EBITDA falls by 11% to 270 million, with 132 million impact from lower power prices and 35 million lower regulated income following the periodic regulatory review. This was mitigated partially by 75 million combined benefit from hedging and the regulatory banding protection. There are other moving parts in Spain, such as the higher contribution of regulatory accounting accounted assets despite the lower prices, thanks to the reversal in Q1 of the 2013 impairment, a slightly higher IFRS 16 contribution relative to last year and other smaller effects such as efficiencies in O&M. Average power prices in Spain during the first 9 months of the year fell by 36% from EUR 50 megawatt hour to EUR 32 megawatt hour. The average pool price for the year as a whole is expected to be around EUR 34 megawatt hour compared to EUR 48 megawatt hour in 2019. Demand is down so far by 5% as a consequence of COVID. At the worst of the lockdown Spain, demand fell by around 25%. Hydro production is also being strong, reducing the demand for gas-fired generation in the Spanish market. Taking into account our regulatory income, hedging and the regulatory bands, our average achieved price in Spain fell by 19% to 62.6 megawatt hour. Production in Spain was up by 2%, with wind volumes down 10% and hydro up by almost 60%. Total production in 2020 is nevertheless below expected levels. In terms of hedging in Spain, for 2020, as a whole, we have hedged 2 terawatts at prices of just above EUR 50 megawatt hour. As for 2021, we have currently hedged 2.3 terawatts at prices of EUR 43 megawatt hours. Our current target is to cover close to 3 terawatts for 2021 equivalent to EUR 60 million to EUR 65 million of our non-regulated production in 2021. With respect to the international generation business, EBITDA grew by 5%, thanks to the new capacity in operation, which contributed almost 30 million of incremental EBITDA in the period. We expect the contribution for the full 12 months to be in the order of 55 million to 60 million. Output in the existing fleet was lower than the previous year and below expectations. Movement in exchange rates, namely the U.S. dollar have contributed negatively to our results. Moving on to the energy growth visibility for the period 2024 in Slide 11, we provide the detail about the scheduled capacity additions for the period, as well as the additional growth potential that will help us to meet or exceed the 5 gigawatt target. Starting with the 3.6 gigawatt projects that have full visibility, we know that as of June, this figure stood at 1.3 gigawatt. We have signed a major PPA for the U.S. solar PV portfolio, secured another large PV project in the same market and made further progress with respect to the MacIntyre wind farm in Australia. This has resulted in adding the MacIntyre project plus 1.2 gigawatts of U.S. PV project to our schedule additions. Since the start of 2020, we have constructed close to 400 megawatts and expect to add another 300 megawatts or so by year-end, so that the total increase in the year will be close to 700 megawatts. We currently have 682 megawatts under construction and we expect to start construction of another 2.5 gigawatts next year. All in all, this totals 3.6 gigawatts of scheduled capacity with full feasibility, covering 72% of the 5 gigawatt targeted for the period 2024. This is equivalent to close to 900 megawatts average annual additions between 2020 and 2023. With respect to the close to [1.0 gigawatt] additional projects required for us to reach our targets, we have 15 gigawatts pipeline, of which 2.7 gigawatts are mature, highly probable development projects. All-in-all, we remain very confident on our ability to meet or exceed our ambition 5 gigawatt target with projects that will add value to ACCIONA. With respect to the Infrastructure division, you can find a summary in Slide 12. Revenues fell by close 14% – to 14%, mostly due to construction division. EBITDA fell by 63% to 128 million in aggregate for the division, which is 223 million lower contribution than last year. Construction posted 22 million positive EBITDA relative to 2 million in H1, following a very negative second quarter, which [indiscernible] the brand of the impact of the COVID. The situation is gradually improving, as explained earlier, and we would expect a better contribution in Q4. Concession experienced a small decline in EBITDA around – of around 4 million. The impact of COVID has been limited to Spanish concessions that have volume risk. In water, the COVID impact has been limited at 7 million, and it has mostly been considered an essential activity by the authorities. Water revenues grew by 36.5% to 701 million and EBITDA by 25.7% to 65 million. The strong growth is mainly explained by the simultaneous execution of 5 desalination plants in the Middle East, and another in Hong Kong sufficient to supply 10 million people. In Slide 13, we wanted to highlight the record growth in the construction and water project backlog, including the acquisition of the Lendlease project backlog and the success in taking on board the Linha sales project, the total newly awarded and added projects has surpassed the EUR 7 billion mark, which is 90% higher than the average for the periods 2016, 2019.  The total backlog stands at EUR 12.7 billion, which is more than 3x projected annual revenues. There will be incremental opportunities that could arise for infrastructure dividend and economic recovery plans around the world and in Spain in particular. In the meantime, activity is normalizing across all of our locations, and we currently do not have any suspended works due to COVID. Ongoing impacts on operating efficiency across the portfolio are also gradually diminishing and being digested. In terms of logistics and procurement, in the last few months, the situation has improved week after week. International travel is also normalizing in many markets. And for example, in Brazil, we are not experiencing problems in mobilizing the resources needed to kick start the Linha sales project. We should exercise caution, however, about what the next month may bring with the second wave, especially in the northern Hemisphere. In Slide 14, we now summarize the operating performance of the other activities of the group. Starting with the Property Development business, EBITDA grew to 8 million as a result of the delivery of 393 units during the first nine months of the year. We expect to deliver the clients to clients another 335 units during Q4, including 135 units of our first build-to-rent development projects sold to AXA and another 120 units in Poland. Total estimated gap stands at close to 1.1 billion. As for Bestinver, the market downturn and volatility of the COVID contracts have resulted in EBITDA falling by 9%. Average funds under management fell by 6% to just 5.7 billion, with net outflows limited to around 200 million only, showing the resilience of the business. Total funds under management stood at close to 5.5 billion at the end of September. And to conclude the presentation and before the Q&A session, let me highlight a few messages. First, that 2020 is obviously an exceptionally challenging year and in our view, ACCIONA is withstanding relatively well, its impact on taking decisive action to protect this business plan. We strongly believe that the COVID impact is manageable, it's temporary and will neither challenge the strength of our business model nor our growth ambitions. In recent months, we have been experiencing a gradual normalization in the levels of activity and profitability across most of our businesses, and this is encouraging. Nevertheless, there is uncertainty around the slope of the recovery in the coming months as the pandemic is not over yet. As we enter the final months of the year, we wanted to assure you that ACCIONA is fully focused on operational delivery and also the execution of the plan disposal. And thank you very much for your time, and we are now ready to answer your questions.
Raimundo Fernández-Cuesta: Thank you, Jose Angel. So Jose Angel and myself are ready to take your questions. [Operator Instructions] And please state your name and institution as usual. Thank you. 
Operator: [Operator Instructions] Our first question comes from Oscar Nájar from Santander. Oscar, please go ahead.
Oscar Nájar: Hi, good morning and thank you for the call. Oscar Nájar, Santander. Two questions, as you said, Raimundo. The first question is on the pipeline, very interesting slide. But I have a few questions here or follow-ups. First, assuming your current 5 gigawatt, the assets to be commissioned in 2023, 2024, should be around 2.3 gigawatt. No, if we see the calendar that you are – sorry, 1.3 gigawatt. But if we use 6.3, this figure will be much, much higher. How are you going to handle to build much more than 1.5 gigawatt per year if you go to the 6.3? That's the first one. And second, how is – how are you going to finance that? Because obviously, this will be an increase in the CapEx for your Energy division? And the second question is regarding the full year guidance. You have not mentioned that, but we – you said that it should be at minus 15% around that figure of EBITDA in 2020 that will be around EUR 1.2 billion. But taking into account the nine-month results that will imply a EUR 462 million in the fourth quarter. If we see the Page number 5, you are giving us a range that I calculate more or less between 330 million and 400 million. So, it's well below these. So are you lowering the guidance? And what is driving this range? What can take us to the upper part or the lower part of the range? Thank you.
Raimundo Fernández-Cuesta: Thank you. So, you have questions on the pipeline, 5 gigawatt pipeline, and the potential increase to 6.3 target by the end of the period and how we're going to finance that. And how we could do 1.5 gigawatts per annum implied by that incremental potential growth. And then a question on the full year guidance on EBITDA, have we cut the guidance, have we lower in the guidance? And what the chart implies that we put in front of you. Thanks.
Jose Angel Tejero: Oscar, on the first question, what our commitment is on the 5 gigawatt. What we want to show is that we have further opportunity to even exceed that target. If that opportunity is concrete, we have the capacity to do that by – you know that we have a very active policy of rotating assets of bringing partners to the project. What we want to show is our strong capacity on developing projects that currently we have in our portfolio. On the guidance, we provided you a guidance at the beginning – not at the beginning of the year, when we – when the pandemic hit the market, that was based on a full – a complete solution for the pandemic after Q2, with a normalization of activities in Q3 and full normalization activities of Q4. What we are seeing is that Q3 is very encouraging, but we also are aware that pandemic is not over. And there is an element of uncertainty about the operations in Q4 that we want to put on top of the table without committing to any particular part of the range that we gave back in March, which was very wide, by the way, at that point in time.
Raimundo Fernández-Cuesta: Next question please.
Operator: Our next question comes from Fernando Garcia from RBC Capital Markets. Fernando Please go ahead.
Fernando Garcia: Hi, good morning everybody. It's Fernando Garcia from RBC. Thank first for taking my questions. So, I'm going to limit to the two that you asked Raimundo. First one is on working capital. I would like to know there is – if there are some off-balance sheet items, like factoring that could explain part of that improvement and there as well, if you could provide evolution of factoring in Q3 and on working capital is what's are your expectations for Q4? Second one is regarding perimeters impact in net debt. Could you provide the breakdown of this impact? What is Lendlease, for example, et cetera? Thank you.
Raimundo Fernández-Cuesta: So Fernando, you have questions on working capital evolution, if there are any one-off items and the expectations for the full-year. And also perimeter impacts on the debt, whether it includes an impact from Lendlease. And we have the held-for-sale assets in concessions, as you know.
Jose Angel Tejero: On the working capital, taking away the effect of bringing the Lendlease projects into the transaction, I mean, into our operations, basically, the working capital movement between Q2 and Q3 has been flat. The Lendlease projects are bringing a working capital positive of around EUR 250 million that are contributing positive to that working capital number.
Raimundo Fernández-Cuesta: And impacts on the perimeter? The impacts on the perimeter, as we said, the cash that came with Lendlease is part of the working capital, and this will be unwinding later. And the only parameter change, which is stated in the presentation, that was already there in June, is the 127 debt contained in the concessions portfolio that we are currently selling, which are classified as held for sale. Next question, please.
Operator: Our next question comes from Manuel Palomo from Exane. Manuel, please go ahead.
Manuel Palomo: Hello, good morning everyone. I'd like to ask you, the first couple of questions. Number one is on the debt. If I'm not wrong, you're targeting net debt-to-EBITDA of 4.4x to 4.6x, which includes – and this is the first confirmation I would like to get, IFRS 16 impact. And I understand it excludes the [0.5 billion] CapEx referral and also the net debt associated to assets held for sale. So question would be, what – could you share the net debt associated to assets held for sale you expect by full year 2020? And also – and to finish with that, could you please share the amount of disposals that you are including in your net debt-to-EBITDA calculation?
Raimundo Fernández-Cuesta: Okay. Thanks. So questions on the debt on full year. Whether it includes IFRS, which the answer is obviously yes. How the CapEx deferral and how much will it have in terms of assets held for sale at year-end? And how many disposals have included in the target?
Jose Angel Tejero: Hello, Manuel. The goal is that the debt assets held for sale, once it's executed and we cash in the sale, I mean, it shouldn't be in our balance sheet at the end of the year. I mean this is a pure accounting element that is associated to an asset that is for sale. So, once the transaction or the transaction associated to those assets are executed, I mean, we will cash in or the debt that will go away from our balance sheet will be in the area that we have been talking during the entire year, which is a goal of disposal of around 500 million. And I think that's the full stop on that part.
Raimundo Fernández-Cuesta : Next question please.
Operator: [Operator Instructions] We have another question from Manuel from Exane. Manuel, please go ahead.
Manuel Palomo: Hello again. Just again, a couple of questions. One, is on the power so that you have included into the schedule a number of megawatts. But this mainly relates to Tenaska in Australia, if I'm not wrong. I was – then up and it looks like it's close to 1.8 gigawatts to 2 gigawatts. My question is, what makes you feel comfortable or more comfortable – additionally comfortable about these assets and why include them now when it were – they were not included in the first half presentation? And also, I'm – I happen to say that I'm curious about PPAs in Spain. I wonder whether – well, given that it looks like there are not many questions. Number one, your views on the Spanish renewable auction, and number two, I've seen that you've been able to sign a number of corporate PPAs in Spain. My question about these corporate PPAs, if you could give us a bit of light on them in terms of what is the PPA duration and whether these PPAs are PPAs in which you're just selling the output of this farm – or these wind farms or PV farms or whether you are committing to a certain amount of baseload capacity? And if I may, the last one would be, I do not know if I asked about this in previous quarters, but just to make sure, could you share with us the cost of that 0.5 billion CapEx referral? Thank you.
Raimundo Fernández-Cuesta : Okay. So that's more than two. But anyway, we have a question on what is making us more comfortable to include Tenaska and a substantial part of the well, substantial part of Tenaska and the MacIntyre project in our list of scheduled projects for the next few years. New PPAs in Spain view on renewable auctions and what are the main characteristics of the PPAs we're signing. And then the cost of CapEx on the CapEx deferral, where there's any costs attached to that.
Jose Angel Tejero: First of all, just to make clear, when we have shown our megawatt capacity to increase or to cover our 5- megawatt – gigawatt commitment, what we want to provide this comfort to you that we have enough pipeline to reach our [5 megawatt] capacity. We are not now stating that we have – we are changing the goal to increase to the 6.2 that adds up to the – with 2.7 additional gigawatt that we have in the pipeline. That's one thing. The other thing is that why you ask why we are now confident in bringing into the scheduled pipeline, the Tenaska and the MacIntyre project and the reason is really because we have signed the PPAs that secure the long-term feasibility of those two projects. You were talking also about PPAs in Spain.  I mean I think that what you're asking or questions on the sensitive commercial nature, and it is difficult to provide open information on things that we win on competition with other market participants in a very fierce matter. I mean, I only can say that they are with first-class counterparties long-term and with very good revenue visibility for our portfolio in Spain. I think the last thing that you were asking had to do with the deferment in payment for our CapEx. Deferred payments in CapEx is a normal activity that our suppliers provide in order to bring our – the payments as close as possible to the moment where the facilities are in – at COD. So, at the moment, when those facilities are already providing new income to the company. So, it is a normal practice in the market and it comes within the cost of our total CapEx. It doesn't have any additional cost associated to that practice.
Raimundo Fernández-Cuesta: I believe there are couple more questions on the queue. So, next question please.
Operator: Our next question also comes from Fernando Garcia from RBC Capital Markets. Fernando, please go ahead.
Fernando Garcia: Hi, good morning again. So my first question is a follow-up my first question before. So could you explain the evolution of the use of factoring in Q3 results? And then second question is my understanding in the question of the 1.3 gigawatt potential addition of capacity. Is that you could finance that with the use of asset rotation. So I wanted to know if I am right with that interpretation. Thank you.
Raimundo Fernández-Cuesta: Sorry, whether – the question, so follow-up on a question on factoring. And then on the potential increase in added capacity over the next five-year period, how we could finance that? Whether that's rotation or not?
Jose Angel Tejero: On the second one, as I said, first of all, I insist that we have not reset our goal to increase our 5 gigawatt target, we are just showing the commercial capacity that we have – or the development capacity that we have within our group to give comfort that the 5 gigawatt on that end is reachable. I mean in terms of financing that growth, again, we keep, as we have done in the past, with the policy of on cash – internal cash generation, asset rotation, and the usage of minority partners. The second question was the one related to the evolution of the factoring. And in fact, what has happened in terms of the use of factoring compared to the same period last year is that we have actually reduced the use of factoring by more than 100 million – actually 109 million less use of factoring than last year.
Raimundo Fernández-Cuesta: So, next question please.
Operator: Our next question is also from Oscar Nájar from Santander. Oscar please go ahead.
Oscar Nájar: Hi, thank you for taking my follow up. Regarding the disposals, so as you mentioned, including the first half, 133 million coming from the asset held for sale. We have seen in the press, the 67 million coming from the disposal of 5% in international to in the infrastructure that will make around EUR 200 million. This 5% will be cash this year or will be cashing next year at the same time that you are paying for it? First question. And second, are you considering any other disposal on top of the Spanish concessions, real estate, renewables, if there is any good offer? And if we will for guidance, are you considering any impact in EBITDA coming from these disposals? Thank you.
Raimundo Fernández-Cuesta: Okay. Thanks, Oscar. So the first one was about the speculation in the press about the 5% stake in Bestinver and the timing of that. And then second, of whether we are considering any of disposals apart from concessions. And if I understood well, the EBITDA associated with the disposals.
Jose Angel Tejero: For the first question, the time for the ACCIONA international transaction is actually next year. So, I think that you have a confusion on that – on the timing of that one, so it will have no impact on this year. On the rest of the disposals, though what we are targeting as first focus is the package of concessions associated to Spanish concessions, for which we have the 127 million debt held for sale. And I think that you also asked what was the EBITDA associated to that portfolio. And it is between 35 million to 40 million per year.
Raimundo Fernández-Cuesta: I believe there are no more questions. So thanks a lot for your attention, and look forward to hearing from you soon. Thank you.